Operator: Good morning and welcome to the Bio-Techne Earnings Conference Call for the First Quarter of Fiscal Year 2017. At this time, all participants have been placed in listen-only mode and the call will be open for questions following management's prepared remarks. Today's call is being recorded. I would now like to turn the call over to Mr. Jim Hippel, Bio-Techne's Chief Financial Officer. Please go ahead sir.
Jim Hippel: Good morning, and thank you for joining us. On the call with me this morning is Chuck Kummeth, Chief Executive Officer of Bio-Techne. Before we begin, let me briefly cover our Safe Harbor statement. Some of the comments made during this conference call may be considered forward-looking statements, including beliefs and expectations about the Company's future results. The Company's 10-K for fiscal year 2016 identifies certain factors that could cause the Company's actual results to differ materially from those projected in the forward-looking statements made during this call. The Company does not undertake to update any forward-looking statements as a result of any new information, or future events or developments. The 10-K, as well as the Company's other SEC filings, are available on the Company's Web site within its Investor Relations section. During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to most comparable GAAP measures are available in the Company's press release issued early this morning on the Bio-Techne Corporation Web site at www.bio-techne.com. And with that, I'll turn the call over to Chuck.
Chuck Kummeth: Thank you, Jim. Good morning, everyone. Thank you for joining us for our first quarter conference call. You'll recall from our last quarterly earnings conference call that we finished our fiscal year 2016 on a strong note. I'm happy to report that our momentum is carried into our first quarter and we have started fiscal year 2017 also on a strong note. The company delivered 10% organic growth in the quarter with solid growth in all three of our divisions and in all three of our major geographic regions. This topline performance also flowed down to our bottom line with strong operational performance increasing adjusted operating margins in our core businesses and adjusted EPS growing 11% after excluding the negative impact from FX. The Biotech division completed its sixth quarter in a row in mid-to-high, single-digit organic growth. All three of the division's main product categories protein, antibodies, and assays performed well. Antibodies performed particularly well growing double-digit in the quarter with our strategy becoming the customary agent supplier for pharma and others continues to bear fruit. Our focus on being a lead supplier of multiplex assays also has demonstrated in the quarter with double- digit growth in sales and royalties for this product line. I should also add that our Minneapolis site which manufactures majority of products for the Biotech division launched a completely new ERP system in July for the first quarter. While implementation of our new ERP system often has issues which causes business disruptions and we experienced a few as well. The team here in Minneapolis did a tremendous job pulling together to ensure our customers are served as they have come to expect from our new systems, our gold standard brand and quality reagents service. I'm pleased to report that system is fully functional as we head into Q2, and the effort by the team is now focused on gains, internal efficiencies, we expect to receive from replacing a 30 year old technology with a modern 21st century ERP platform. In the Biotech segment we also closed on the Advanced Cell Diagnostics acquisitions, or ACD, in August. As a reminder, ACD marks Bio-Techne's entry into the genomics field and market. Second, and more importantly, its innovative and versatile technology has potential to change pathology practices. RNA-ISH is a transformative technology facilitating and improving the monitoring of gene expression patterns at the single-cell level, while retaining the morphological context of the tissue being analyzed. ACD's technology serves both research and diagnostic markets expanding Bio-Techne's presence in the clinical lab setting. In just the past couple of months, the commercial teams of both ACD and the Bio-Techne division have been meeting in Europe, Asia, and here in the U.S. for identifying ways to leverage Bio-Techne's marketing and sales channels to further accelerate adoption of ACD's technology. In addition, ACD continues to leverage its core technology into new products. In Q1, two new [indiscernible] products were launched - first the BaseScope which is the breakthrough next-gen technology capable of splice junction and mutation detection. And second, it's first fully automated multiplex fluorescent RNAscope assay for the LDS platform. These are just examples of both the innovation and collaboration that contribute to over 50% sales growth for ACD this quarter on a standalone basis. Moving on to Protein Platforms. This division also continued with its momentum from the second half of fiscal year 2016 growing organically by 20% in the third quarter. This marks the third quarter in a row of over 20% organic growth. Our recently launched new iCE instrument, Maurice, continues to be well received by customers leading the biologics product line to strong, double-digit growth. Meanwhile placements of Ella our automated multi ELISA instrument also accelerated Simple Plex revenue nearly 150% in the quarter, and while not counted in our organic growth, Protein Platforms launched its first automated single-cell western blot instrument Milo in July. You will recall the technology of this instrument was acquired as part of the Zephyrus acquisition we made back in March. The initial interest of customers in this product have exceeded our expectations and we've already sold a number of these instruments in the quarter. The Simple Western product line, led by the West instruments, continues to be adopted with the new standard for the way western blots are done in the lab. We continue to see double-digit percentage increases in the usage of existing instrument placements and momentum for additional placements worldwide. In Q1, we combined the US sales force structure of our biotech and Protein Platforms division to further enhance our solution-based offerings we bring our core customers. With a unified sales approach, we can better demonstrate to our customers that we provide the instruments to simplify and enhance the researchers' workload that, together with our reagents, ensure the best results for their experiments. We are already seeing another upswing in lead generation from this new approach with physicians and product lines all for the rest of the year. When we acquired ProteinSimple, the business was positioned as a one product platform company based on the simple Western technology. Now the Protein Platforms division has four with upgrades in biological with Marie, and single cell with Milo and the Ella platform acquired with CyVek has demonstrated in Q1 Protein Platforms has a diversified product offering that will continue commercial penetration and product innovation allowance with several avenues with the aim of consistent growth for years to come. Finally, our Diagnostics division achieved fantastic growth of 19% in the quarter. We experienced strong growth with our OEM customers in both glucose and blood gas control. Much of the price pressure we saw last year in the glucose market has now annualized, so we are past that headwind. As for blood gas, CLIA has increased in 4% end users to use these controls on their instruments, which of course is beneficial to our business. On the assay development side of the Diagnostics business, growth was also strong, particularly for the point of care market where there continues to be many new projects that result in development opportunities for custom reagents and controls. However, as we have said before, due to the OEM nature of this business, customer requests for deliveries can be lumpy, and Q1 benefited from this lumpiness. We do expect fiscal year 2017 to be a great year for the Diagnostics division with growth averaging mid to high single digits for the year. Moving on to some commentary regarding our regional and end market performance, in short, growth in all of our major regions and end markets was very similar to what we have seen in the past several quarters. Both Europe and the US saw mid-single-digit growth in the academia market and high single-digit growth in biopharma. In Europe, we completed and fully integrated the acquisition of SPACE, our key distributor for Italy and southern Europe. I spent some time in Milan this quarter with our Bio-Techne team there and was very pleased with the leadership and collaboration already taking place with our existing sales reps in the area from the another division. This fine addition to Bio-Techne as well as the support of our new leader for the overall EMEA region will make this a full Bio-Techne subsidiary for southern Europe that will drive growth in the region for the entire Company. Moving onto Asia, the themes we saw for most of fiscal year 2015 continued into the first quarter of fiscal year 2017. In China, most of our brands grew well north of 20% in Q1. The one exception continued to be PrimeGene, which is heavily impacted by the CFDA crackdown on cell therapies administrated by hospitals due to the PrimeGene scandal earlier this year. PrimeGene is a key supplier of reagents to hospitals who use these therapies. We believe the CFDA will provide regulations for hospitals using cell therapies which will stimulate growth in this treatment again, and PrimeGene is well-positioned to fully participate in this growth. As for the rest of APAC, overall, the region continues to perform well. We've continued areas -- we experienced areas of strength with our great distributor partners in Korea and India. Japan continues to lag due to local funding pressure, although the rate of decline appears to be bottoming out. In closing, we started our fiscal 2017 in much the way we ended our fiscal 2016. Our organic growth is strong and broad-based. The integration of our businesses and new ways of innovating science synergies is ongoing. We continue to increase the margins of our core business. We closed on three more great acquisitions which will accelerate our organic growth and profits for years to come. Our capital allocation strategy remains focused on M&A. Our pipeline of potential M&A targets remains strong and we plan to continue to augment our organic business of acquisitions that strengthen our positions in existing businesses and geographies or to leverage our reagents expertise to take to market. I want to thank our customers who continue to choose Bio-Techne's tools for their lifetime's research and our employees for dedication and determination to serve those customers well. Jim, I'll pass the call over to you for more detailed review of the first-quarter financials before we open it up the lines to Q&A.
Jim Hippel: Great. Thanks Chuck. I will provide an overview of our Q1 financial performance with total company and then provide some color on each of our three segments. Starting with the overall first quarter financial performance, adjusted earnings increased 8% year-over-year to $31.6 million, while adjusted EPS was $0.84 a share versus $0.79 in the prior year. The impact of foreign exchange fluctuations represented a headwind EPS, approximately $0.03. Most of this FX impact which is a short term exchange, great volatility in Q1 of fiscal year '16. This volatility produced transactional FX in last year. The quarter below adjusted operating margin did not repeat again Q1 of this fiscal year. GAAP EPS for the quarter was $0.43 compared to $0.61 in the prior year. The biggest driver for the lower GAAP earnings are non-cash purchase accounting costs associated with the recent acquisitions. Q1 reported revenue was $130.6 million, an increase of 16% year-over-year, with organic revenue increasing 10%. First-quarter reported sales included a 7% growth contribution from acquisition partially offset by a 1% unfavorable foreign exchange headwind. By geography, both the US and Europe grew in the high single digits with upper single digit biopharma sales growth and mid-single-digit academia results. China experienced organic growth nearly 20% during the fourth quarter with higher growth in our western brand being slightly offset by the impact of the bribery scandal on our local PrimeGene brand. The brand continue to be a drag on growth, given the challenging government funding conditions with organic growth declining in the mid single digits. Excluding Japan and China, the rest of APAC were in the high teens organic in the first quarter. Note that all references made to growth rates by region and end markets exclude our own end sales, which mostly occur in our Diagnostics segment. Moving onto the details of the P&L, total Company adjusted gross margin was an even 71% in Q1, increasing 40 basis points from the prior year. With the Protein Platforms and Diagnostics segments growing at a faster rate than the Biotech segment, the unfavorable mix results which was more than offset by productivity being as well as positive gross margin contributions and recent acquisitions. ACD in particular contributed gross margins exceeding 80%. FX had a nominal impact on adjusted gross margins throughout the year. Adjusted SG&A in Q4 was 24.9% of revenue, 160 basis points higher than last year. The SG&A increase was driven by the acquisitions made since the beginning of the first quarter of last year and strategic investments made in our core businesses to support growth. R&D expense in Q1 was 9.8% of revenue, 30 basis points lower than last year, reflecting the volume leverage achieved from our Protein Platforms and Biotech divisions. The resulting adjusted operating margin for Q1 was 36.3%, a decrease of 100 basis points from the prior-year period. The recent acquisitions contributed 140 points of the improvement. Looking at our numbers below operating income, net interest expense in Q1 was $1.3 million compared to $0.4 million of net interest expense last year. The higher interest expense is due to a $400 million line of credit which was opened in Q1 to replace our existing $150 million line of credit, as well as fund the acquisition ACD in August. Other nonoperating expense for the quarter was essentially nil compared to $1.2 million of nonoperating income in the prior-year quarter. This favorable transactional FX in the prior year did not repeat this year. Our adjusted effective tax rate in Q1 was 31.4%, an increase of 30 basis points from the fourth quarter of last year due to a -- first quarter of last year due to a greater percentage of taxable income being generated in the U.S. In terms of returning capital, we continue to pay our dividend and paid out $11.9 million in the quarter. Average diluted shares were up less than 1% over the year-ago period at 37.5 million shares outstanding. Turning to cash flow and the balance sheet, $26.1 million of cash was generated from operations in the first quarter and our investment in capital expenditures was $2.4 million. The new ERP system we implemented in July delayed some customer invoices until late in the quarter, driving our quarter end Accounts Receivable balance approximately $10 million higher. We expect these outstanding receivables to be fully collected in Q2. We ended the quarter with $122 million of cash and short-term available-for-sale investments. Our long-term debt obligations at the end of Q1 stood at $375.9 million, an increase of $245.9 million from the end of Q4, reflecting the additional line of credit used to purchase ACD. Going forward, our capital deployment priorities remain opportunistic M&A, our dividend, and debt pay down. Now, I'll discuss the performance of our three business segments, starting with the Biotech segment. Q1 reported sales were $86.8 million with reported revenue increasing 15%. Acquisitions contributed 10% to revenue growth. Foreign exchange negatively impacted growth by 1%, and organic growth was 6%. Organic growth was broad-based in all major product line divisions. Adjusted operating income for the Biotech segment increased 8% in Q1 compared to the prior year. Adjusted operating margin was 48.9%, an increase of 300 basis points -- a decrease of 300 basis points year-over-year due entirely to the mix of recent acquisitions. Excluding acquisitions, adjusted operating margins were essentially flat to prior year. Turning now to the Diagnostics segment, reported revenues in Q1 was $24.2 million, which reported an organic growth of 19% over last year. Strong growth in glucose and blood gas control as well as continued strength in diagnostic assay reagent sales drove the growth. As in past quarters, timing of only on orders also impacted growth, this time favorably in Q1. Due to the fluctuations of OEM ordering patterns form quarter to quarter, management also monitors trailing 12-month revenue growth to smooth out these timing impacts. For the end of Q1, trailing 12 months revenue growth for the Diagnostics segment was 11%. Diagnostics segment adjusted operating income increased 34% in Q1 and adjusted operating margin was 21%, an increase of 290 basis points from the prior year. The higher adjusted operating margin is primarily attributable to higher volume leverage. Moving on to our Protein Platforms segment, net sales in Q1 were $19.6 million, an organic increase of 20% from the prior-year period, with recent acquisitions contributing 1% to growth and favorable currency translations impacting revenues by approximately 1%. Growth in this segment was broad-based with most major regions in product lines growing by double digits with particular contribution from our next generation iCE instrument, Maurice. Adjusted operating income in Q1 for the Protein Platforms segment was $0.2 million, representing an adjusted operating margin of 1.1%, compared to a $1.2 million adjusted operating loss from a year ago. Strong volume leverage drove the year-over-year improvement, partially offset by the operating trials associated with the Zephyrus acquisition and favorable FX. Without these headwinds, adjusted operating margin in Q1 for Protein Platforms would have been mid single digits. We continue to expect additional improvement in Protein Platforms' profitability with topline growth and productivity gains, drive operating leverage for the remainder of this year and beyond. In summary, Q1 was a great start for the fiscal year for Bio-Techne with solid commercial and operational execution driving record organic growth for the quarter. Looking ahead to the full-year fiscal year 2017, we still expect overall Company organic growth to be similar if not slightly ahead of fiscal year 2016. For those who pay to particular attention to the calendarization of our results, there are a few items to be mindful about our fiscal Q2 that could be different from Q1. First, I'll remind everyone that the purchase of ACD occurred August 1 in Q1. ACD's monthly sales profile is much more weighted to the last half of the quarter versus the beginning, similar to Protein Platforms. Thus, in Q1, Bio-Techne benefited from reporting most of ACD's revenue in our results, but did not record roughly a third of its operating costs. Therefore, the operating costs of ACD occurred in July. Obviously, ACD will be under Bio-Techne's ownership for the entire second quarter. Thus, all of ACD's quarterly operating costs will be included in Bio-Techne's Q2 results and be a larger drag on operating margins than they were in Q1. This also holds true for below the line for interest costs. In Q1, we incurred higher interest expense as a result of the additional line of credit taken to perform the transaction. In Q2, there will be three months of higher interest expense rather than just the two months we incurred in Q1. The second item that could be different in Q2 versus Q1 is OEM delivery time. As both Chuck and I have stated in our previous commentary, the OEM nature of our Diagnostics segment can cause lumpy revenue results for the quarter. This lumpiness was favorable in Q1 but will be less so in Q2. Right now, based on the schedule of OEM shipments, we are expecting Q2 revenues for Diagnostics to be relatively flat to the prior year. And third, you will recall that the British pound took another significant drop in valuation in the first two weeks of October. As you may know, our commercial headquarters for Europe is based in the U.K. and the functional currency is the British pound. Also, approximately 20% of our European revenue is derived from customers in the U.K.. As we are experiencing a negative impact, the transactional effect just as we had in Q4 when the British pound took its first drop in valuation the last week of June. We are also expecting slightly more headwind from translational FX in the second quarter as a result of the devaluation that occurred this month. That all being said, as we stated in our last Q4 earnings call, we still expect our adjusted operating margins to improve in the second half of the fiscal year as ACD's revenue continues to ramp, producing more volume leverage for our biotech segment. That concludes my prepared comments. And with that, I'll turn the call back over to Janice to open the lines for your questions.
Operator: [Operator Instructions] And we'll take our first question from Amanda Murphy of William Blair.
Amanda Murphy: Good morning guys. I just had a quick question on the academic markets. Obviously they were quite strong for you guys, and it sounded like, in Europe and the US, that was the case. Others have seen it as a little bit of a different dynamic in this quarter. So have you seen anything at all, any weakness sort of coming into the quarter or maybe the end of the quarter that would suggest that there is something going on in academia? I think a lot of companies have have stated issues in the U.S. in particular. I don't know if it's just because they have more CapEx versus less recurring revenue, but as you guys have added more set of CapEx type platforms, I am wondering if you are seeing anything at all on that side either.
Chuck Kummeth: Thanks for the question Amanda. For the quarter, we saw results pretty similar to last quarter, which were also pretty good results. I would say that, for September, things were soft, and there have been a lot of people reporting before us in support of similar things. October, it looks pretty good again now. So I think it's down a little bit, there is a lot of speculation by some of our peers on, is this some of this due its funding et cetera, et cetera. Our results for - we think we must have a little bit of impact because only better for us that there was any real impact on that yet but I assume there is no at this point on increase of 6.5%. Europe had a very strong quarter in academia, and we see it kind of somewhat continuing, albeit Brexit and other news events, whatever happens there could be different. But as it goes right now, it's pretty steady. A lot of it I think is coming from our great execution. Our teams are bigger. We have the SPACE acquisition. We are doing a lot of cross-selling. So, that's also possibly helping a lot. Asia looks pretty much the same. Now, the part which would be funded academia that may be due to therapeutics cell therapeutics, is certainly definitely still in a rut. Everything around that purchase is doing quite fine yes. We even see a potential bottoming in Japan. So things are looking the best they have for us in over a year in Japan, although I wouldn't say it's a victory lap yet or anything. But it certainly is a negativity reflected that is finally waning. And I guess that's kind of initial comments. I guess one more thing - our partnerships with Fisher certainly helps that’s a key strategic area for us for academia and Fisher results are more or less very similar it have been low single digit so, keeping us out of that negative areas years ago.
Amanda Murphy: Okay. That makes sense. And then a one quick clarification question on the organic growth. Did you say that you still expect the growth for this year to be in line with last year from an organic perspective or did you say to this quarter?
Jim Hippel: For the year, we expect the organic growth to be similar to the rate of growth we had in fiscal year 2016 if not slightly higher.
Amanda Murphy: Okay. That was kind of what you had said last quarter, correct?
Jim Hippel: Right.
Amanda Murphy: Okay. And then just the last one from me on EBIT margin. So recognizing all your comments around the dynamics of ACD in Q2, do you think that -- the EBIT margin this quarter I think came in a bit better than we were all looking for, again realizing that will probably take a step down in the quarter following. So just wanted to check in there, is there anything there that -- is it performing in line with your expectations? And then are you still expecting the full year to be -- I think you said around the mid 30s for the full year.
Chuck Kummeth: Excuse me, what market? EBIT…
Amanda Murphy: EBIT market.
Jim Hippel: In short Amanda our - we had our fiscal year '17 at the end of Q4 where we have not changed after this quarter. So you're correct that margins will be more negatively impacted in Q2 because the full quarter inclusion of ACD but we need to come back on the second half a bit but overall end up for the year, somewhere in the mid 40s.
Amanda Murphy: Okay.
Chuck Kummeth: We're going to be - we expect to this acquisition to get really breakeven within the year. We were in great shape as first quarter as Jim pointed out that's because we didn't - we had very little middle of the cost in the first month of quarter, it’s not level. So looking for forward, the growth pace where at that is fantastic rate, so it’s 50% plus and with the 80% plus growth margin business, it should do very well for it and we look forward to the year for now where analysis is annualized.
Amanda Murphy: Okay, thanks very much.
Operator: Thank you. We’ll take our next question from Catherine Ramsey of Robert W. Baird.
Catherine Ramsey: Hi guys, thanks for the questions and congrats on a great quarter. I first wanted to dig into that antibody double-digit growth. How much of that is market growth versus you taking share there? And if it is taking share, how much of that do you think is from Santa Cruz?
Chuck Kummeth: First, I'll take them in reverse order. Santa Cruz is probably still not impacted because most customers are actually I think ordering as much as they can from Santa Cruz to get ready for the end of the year decision. They are not impacted. They don't release until December going forward. So I don't know if we've seen too much yet. We are certainly out advertising, and we are out certainly trying to solicit as much of that potential growth as we can. I think there has been some just from the fact we are advertising, and out going after being hungry. But Santa Cruz is still in the game, so I think those impacts are probably more next year, we think. The other points I think, we're really strong in Europe antibody. I think we’re about maybe the same here in the U.S. high single digits. I think in Asia we have probably decent, although in China, we are probably little soft to buy these - we talked about. I think it’s probably more about our execution, more custom work, I think operational excellence. I don't think it's - I don't think it thus taking whole lot of surely the market is expanding as well as you think mid to high - lower to high single digit side. So I think we’re hanging in there. We don't have quite the numbers of growth that TTM has so we're probably remember two in rating that range. We look pretty good using - and I think it’s just in a lot of good operational excellence, a lot of good innovation here. We're still generating 100 new products a year. We’re still focused on all types and many species and more of the same. We're certainly in the top five. We think suppliers in the world and we sure like to be even higher.
Catherine Ramsey: Okay, great. And then looking at Protein Platforms' continued strength there, how much of that is from biopharma versus academic customers? And then also looking at the margin, a big improvement year-over-year, but, quarter-to-quarter, credit stepped down. Any dynamics to call out there and what we should expect from an operating margin perspective for the rest of the year?
Chuck Kummeth: Jim is scrambling for references here, but I was going to think it’s about 50/50 and these confirmed. We're pretty even. I always have liked the Protein Platform business model. It’s very, very balanced and how we really go after the markets both pharma as well as academia and it really has given go one quarter the next, it’s pretty balanced. This was a number going back to the fees system while we bought ProteinSimple. The big thing here looking forward, it wasn't just about biopharma acquisition, we want to be sure that academia was wanted by instruments for something that’s been done, mainly with hand lever western blot and that continues to be the case that we're forging ahead inventing four labs and academic labs that these instruments are worth buying and it’s worth stepping up and stepping up their game in western.
Catherine Ramsey: And then the margin commentary?
Jim Hippel: The margin commentary? Well, it's not single-digit negative. We are low single-digit positive. I think, as we scale the business dramatically as we're going forward, I think it will happen. We do still think this is a 30% to low 30s% margin business long-term. I think we are still a few quarters away from that. There needs to be more scale. The decision now is to have four major platforms, so it is larger but it is still composed of still relatively small segment businesses in that division. They each have got to get their own critical mass, so to say. We are also a little leveraged more on cost synergies on the commercial side, as we discussed, doing a lot of cross-selling and combining our sales group within the biotech division and CPD that's going to allow us to spend less in commercial on CPD, which is also going to help margins long-term. But it was a good move this quarter, I think, and about where we were focused internally with our plan. So, internally, we are kind of on our plan here. And I think you'll see the growth going forward. The improvements will be kind of in line which you expect for continued accelerate growth. I think remaining at 20% growth results was our goal. We're hoping to always remain mid single teens or so. But at 20% or so going forward, there should be moderate improvements in margin every quarter. That's our plan. You'd expect that 20% is a big move.
Catherine Ramsey: Okay, great. Thank you.
Operator: Thank you. We'll go the next to Matt Hewitt of Craig-Hallum Capital Group.
Matthew Hewitt: Good morning gentlemen. Congratulations on the quarter. I wanted to pick up on one of the comments you made earlier regarding one. I think you just touched on it here briefly as well. As far as combining the sales forces are concerned between the Protein Platforms and the Biotech, when were those changes implemented? How quickly do you anticipate seeing some of the fruits of that integration?
Chuck Kummeth: We are seeing some fruits already. They were already beginning to be implemented I would say last quarter, not this quarter. We did, as an example, we did a big sales conference in Barcelona, and we had all our segments people together with roughly 100 people there, and a lot of training sessions during the week, a lot of networking -- understanding each other's customers so they would understand the needs and wished of the one customer to another within these salespeople, because they are all pretty technical. They know enough about each other's areas to be dangerous. So they know when they have customers to work. If we're in reagents area and we’re looking at antibodies, they know they do enough work and what they maybe the need for western blot systems. So that kind of activity was happening. We formalized more and more of it. We've then begin this followed and more of it along the West Coast, headquarter is over CPD and I think you’ll see more of it. Our head of Commercial North America for the biotech area, Gerry Andros has been spending a lot of time working with Andrea who is commercials for CPD and they’re becoming more and more one team. This always was the thesis. This is the subsidiary model, I’m trying to generate here. I think we’re going to continue to buy things and have acquisitions of things to do a line up hardware to reagents and as long as we do there will be synergies. Short answer is you’re seeing some already. I don’t think we’re at the knee of the curve yet at all. I think it will only get better.
Matthew Hewitt: Okay, great. Can you just touched on it a little bit there as well. from an M&A perspective, given some of the lumpiness we've seen from some of your peers here this past quarter, has that created any incremental opportunities on the M&A front? Are there specific areas that now maybe are a little more appealing than they were even at your analyst day here not too long ago? Thank you.
Chuck Kummeth: We continue to have a strong pipeline and we've officially competed two this quarter. We won’t complete two every quarter, I can assure you. But we’re hunting. We’re in the game on some right now. We will continue to be though far more won’t happen, that will - and will happen that’s the way it goes. In terms of the climate out there, things got cheaper or easier or our peers getting solid on it and staying out of the games because we didn’t have a great quarter, I doubt it. I don’t see any difference in terms of competition for great assets. Great assets out there will always generate great competition. I feel really good about our team, our strategy and hiring ACD. We worked on it about 18 months. We were able to keep as very quiet in private and middle into process. It would have I think that who knows what would happen, but the synergies are obvious and apparent and the team I actually never seen such great synergy between two teams for early but we're really pumped about ACD. I wish we could find more of those. They're out there. We’re hunting and expect a couple of year hopefully right now.
Matthew Hewitt: Great, thank you very much.
Operator: [Operator Instructions] We’ll go next to Carolina Ibanez of Janney Montgomery Scott.
Carolina Ibanez: Hello, good morning. I'm filling in for Paul Knight. On your new RNA into the high depreciation, it looks from advance sales diagnostics. Can you provide some comments on your initial commercialization plans and also future gain business some pathologies and biopharma?
Chuck Kummeth: Sure. High-level, we are really excited because this is an area -- the work frame we want to go after, ISH, and it's workframe in the laboratory, especially biology work. These pathologists already know our product, they know our brand, they know our company. They want to go after it very similar to like with Western blot process. This company hits that, and it really is a movement from a standard antibody approach to a molecular approach. And we feel that there's a lot to offer with that. We have reagents who work with us already. We're working together with them. It is a business model very similar to our own. It's supporting content in little vials and vials can tip and they're going out to customers. We understand how to do that. We've been doing it for 40 years. The gross margins are wonderful, the whole process of generating a probe for pathologists, so you can go to work with a slide, even with his office, a microscope, is quick. It takes two weeks to generate a probe. We now have over 11,000 probes, so it's a very, very fast-moving business. You talked about commercialization. We now have over 600 publications on this technology. So it's even way ahead of the Western blot technology platform in terms of visibility and awareness within its market. What's the game going to be? It's going to be how fast will pathologists take it up. How fast will they move from pot shooting with antibodies and using their art and their experience and their know-how of particular antibodies to find what they're looking for versus this approach, which is much more specific. We like both, though. I mean we sell antibodies for the irregular approach of validation and you need both really in some degrees because you may find what you're looking for in RNA, but the protein may not have expressed it. You may still be wanting to go back and prove that out with an antibody once you know what you're looking at from an RNA point of view. So, all these are commercially being driven right now. We have a pretty extensive sales force with them, which is one reason, even at high gross margins, even by the business they are why they are not breakeven yet officially. It's because they do have a complete commercial model in place. Over time, we'll be aligning that with our own commercial organizations which operate synergies. But at the end of the day, it is heavier commercial model than selling proteins. You actually need technical salespeople working in the field with the pathologists, and that's the mission. It's a large, large market, well over $1 billion, some say as much as a $2 billion market. And then the gravy on top of all this is that you can use the same approach, the same technology, as a companion diagnostic, and that's what like a lots. And this is a technology diagnostic that everybody's platform out there, Ventana. So we expect, if you take out along all of these positions, all these different instrument that our primary partner right now for a full solution for the pathologist with all the automation is like that. And that's the commercial sense right now. And at 50-plus% growth, in a way, we're just kind of staying out of their way.
Carolina Ibanez: Good, thank you. And then you also mentioned the integration in Japan continues to lag, but then that it looked like maybe Europe. Did I hear correctly? If that's the case, what is driving the change there?
Chuck Kummeth: You know, we've been saying for a few quarters, all of us in this industry, that pretty soon they should be running out of stuff. It's been shrinking for a couple of years. We've been waiting on their funding to be released as they integrated their funding organizations to the one they called AMED. We have been told that the funding is released, but we are not seeing a whole lot of it because, last quarter, this previous quarter, or this quarter starting out, things are looking better, and we are hoping it's bottoming. But we are not claiming victory yet. It's still very tentative in Japan. But we have focused on it. We are not that large there. I mean we have people on the ground there and we are actually focused on trying to work with our distributors and be more heavily promotional, and all the typical things you do to try and spur business. More to come, hopefully, next quarter, we can tell you some positive information on Japan. But I haven't heard anything yet out of anybody, mystery, our peers and I doubt I will this quarter, but maybe next quarter we all know.
Carolina Ibanez: Okay. Thank you.
Operator: And with no further questions at this time, I'd like to turn the conference back over for any additional or closing remarks.
Chuck Kummeth: Okay. It was a great quarter. It was better than our last quarter and just being a slightly above 10% organic growth, so we remain committed to focusing on growth and focusing on our margins, and investing correctly and wisely. And we think we are doing a good job here, but our customers in the end tell whether we are not. We're focused on them as well. So thank you all for tuning in and we’ll talk to you next quarter. Thank you.
Operator: Thank you for your participation. That does conclude today’s conference. You may now disconnect.